Operator: Welcome to the Ritchie Bros. Auctioneers 2008 second quarter earnings conference call. (Operator Instructions) I would now like to turn the conference over to Peter Blake.
Peter James Blake: Thanks for joining us on the Ritchie Bros. investor conference call for the quarter and six months ended June 30, 2008. I’m Peter Blake, CEO of Ritchie Bros., and with me on the call today are Bob Armstrong our Chief Operating Officer, Rob Mackay our President, and Rob McLeod our CFO. Jeremy Black who would normally participate in this call but he and his wife have added a second child to their family this week so he’s taking off some well-deserved time. Today we’ll be talking about our financial results for the three and six months ended June 30, 2008. Our presentation should take about 20 or 25 minutes and then we’ll open the call for questions. Before we start I’d like to make a Safe Harbor statement. The following discussion will include forward-looking statements as defined by SEC and Canadian rules and regulations. Comments that are not statements of fact are considered forward-looking and involve risks and uncertainties. These include statements about our projected future results of operations and financial performance, growth and other strategic initiatives, property development plans, and other matters. The risks and uncertainties include the numerous factors that influence the supply of and demand for used equipment, fluctuations in the market values of used equipment, seasonal and periodic variations in operating results, actions of competitors, conditions in local and regional markets, and other risks and uncertainties as detailed from time to time in our SEC and Canadian Securities filings including our management’s discussion and analysis of financial condition and results of operations for the three and six months ended June 30, 2008 which was filed this morning and is available on the SEC and SEDAR & Company web sites. Actual results may differ materially from those contemplated in the forward-looking statements. We do not undertake any obligation to update the information contained in this call which speaks only as of today’s date. I’d also like to note that during the call today we will be talking about gross auction proceeds which represent the total proceeds from all items sold at our auctions. Our definition of gross auction proceeds may differ from those used by other participants in our industry. Gross auction proceeds is an important measure we use in comparing and assessing our operating performance. It is not a measure of financial performance, liquidity or revenue and is not presented in our statement of operations. The most directly comparable measure in our financial statement is auction revenues which represent the revenues we earn in the course of conducting our auctions. We’re now about halfway through 2008. We’ve just completed our first billion dollar quarter selling almost $1.2 billion worth of equipment at a record number of auctions, almost 170 auctions around the world this quarter. I’m pleased to report that in the first six months of 2008 we achieved gross auction proceeds growth of 18%, auction revenues growth of 21%, and adjusted earnings growth of 25% over the first six months of 2007. We delivered record earnings per share in both the second quarter and for the first half of 2008. In the second quarter we also set many new company records. We sold $250 million of trucks and equipment during one week in June making this our biggest week ever. We were all flat out that week and it was a great test to affirm our ability and capacity to manage our future growth. In June we conducted our largest Australian auction ever, our first ever two-day event there, which generated $52 million in gross auction proceeds. We set regional gross auction proceeds records at our auction sites in Atlanta, Georgia, Northeast Maryland, Corso, Italy, and Albuquerque, New Mexico. We sold $231 million of equipment to online bidders bringing our total Internet sales since introducing online bidding in 2002 to more than $2.1 billion. Our business is growing in every way and becoming increasingly scalable. We’re conducting more auctions, our auctions are getting bigger, and we’re serving more buyers and sellers. Consider the following statistics: In the 12 months ended June 30, 2008 an average industrial auction generated $17.8 million in gross auction proceeds up from $15.9 million in the 12 months ended June 30, 2007. An average agricultural auction in the same period generated $900,000 in proceeds compared to $700,000 in 07. In the first half of 2008 we sold 15,000 fewer industrial lots but generated $300 million more in auction proceeds than we did in the first half of 2007 which is extremely positive. The higher the value of the iron we sell, the better use we are making of our auction sites, our systems and our people. We had more than 140,000 bidder registrations during the first half of this year, an increase of 11,000 over the first half of 2007. Just over a quarter of our customers registered to bid online using our real-time Internet bidding service. For the 12 month period ended June 30, 2008 we generated a total EPS of $0.82 a share versus $0.61 in the comparative 2007 period. That’s 34% growth over 2007. And while we can’t expect returns like this every year, it does demonstrate our well established ability to grow when the market is relatively soft. Our online bidding service is popular because it gives our customers the same sense of comfort and confidence they feel when they are bidding on site at our auctions. We have more than 450,000 active customers in our database and three out of four of them still choose to bid in person at our auctions and many will travel thousands of miles to do so. The vast majority of our customers prefer to test and inspect the equipment for themselves, see the other bidders, and meet up with friends and colleagues. Our auctions are events. They have a social element that can’t be duplicated online which is why we are not seeing a complete migration of bidders to the Internet. We’re increasingly asked about the status of our online-only competitors and our answer is in our numbers. By value, 20% of the trucks, equipments and other assets in our auctions sell online and 80% sell to live on site bidders. Offering the best of both worlds with on site and online bidding really is proving to be a winning strategy to deliver compelling value to both buyers and consigners. We believe that our global network of auction sites is one of our most significant competitive advantages. We’re excited to celebrate the grand opening of our newest permanent auction site just outside of Paris, France in June. Bob Murdoch our new Board Chair was at this auction and I’m going to use that fact as an excuse to tell you a little bit about him. Bob worked in France for many years having spent most of his career with the La Farrs Group of Companies including as President and CEO of La Farr North America. Since joining our board in 2001 and especially since being appointed Chair in April, Bob has made a point of getting out into the field so he can better understand our customers and our business. His experience and real understanding of who we are and what we do make him a great asset to our company and our shareholders. Every quarter we get on these calls and we talk about increasing sales, new company records, and the headway we’ve been making on our long-term growth strategy by our people, places and processes initiatives. I understand those updates on the continuing successful execution of our strategy may get a little repetitive but to us that’s a good thing. We’re satisfied with our performance in the past two quarters, but as much as we like to talk about our recent successes that is not the focus of our company. We are executing a plan that will deliver long-term sustainable growth. It’s not sexy and it may seem repetitive but it’s bearing fruit as we have seen with our records results so far this year. Part of our planned execution is being patient and spending wisely. It was only a few short years ago, back in 1999 in fact, that many people were pushing us to go online during the dotcom e-commerce craze of the late 90s. But we waited patiently until the Internet infrastructure was ready and we could deliver a first-class Internet bidding service for our customers. It was about five years ago there was some discussion that we were not pursuing an aggressive China strategy, but we are confident that our measured approach to that opportunity blip times we have patiently undertaken the rebuild of our infrastructure that will support our business towards our goal of $10 billion in gross auction proceeds and beyond. We continue to run the business with a longer-term view while being mindful of short-term impact and prudent use of capital. And when we invest we invest for the future. I’ll pass the call over to Rob Mackay for a brief market update.
Robert K. Mackay: We sell billions of dollars of used equipment at our auctions every year and so we’re often asked about common and current market trends. Because our revenues are directly dependent on the amount of equipment we sell and the price it sold for, we’re often asked we’ll fare during an economic downturn. I’ll address both those questions this morning. High fuel costs and economic uncertainty have certainly have had an impact on many industries in North America and Europe and we’ve seen declining prices across many equipment categories in the first half of the year. We’re signing an increasing number, though not an overwhelming amount, of financial distress deals particularly in the transportation and forestry sectors in North America. The weak housing construction market in most parts of the US shows little signs of recovery soon and that is flowing through to the Canadian lumber industry. Governments in Europe and North America are reigning in their infrastructure spending and contractors are becoming more competitive. This uncertainty and dynamic environment result in increased activity in the used equipment market, which of course benefits us. Slowing demand has resulted in growing used equipment inventories among dealers which is decreasing their willingness to accept trade-ins. We have been seeing a lot of that overstock in our auctions as well as equipment that would have otherwise been traded in. At the same time equipment manufacturers are starting to increase prices in response to rising input costs and that is expected to strengthen the demand for used equipment relative to new ones. Worldwide demand for cranes and large equipments used in the resource extraction and support industry remains high and pricing is still very strong. A construction boom in the Middle East and healthy mining sectors in Asia and Australia are driving demand for heavy equipment. The energy sector is fairly active although Alberta has been experiencing slower growth recently, but many expect that to pick up later during the year. The agriculture industry remains very bullish with commodity prices at 30 year highs. The supply of farm equipment can’t meet demand and prices on used equipment and farmland are very strong. For sure there are some bright spots but the reality is that times are tough in the many sectors and regions we serve. And we just finished our best quarter ever which is exactly what we would expect. Our business model enables us to do well when the market is strong and even better when it’s not. Our strength lies in our diversity and global presence. When times are tough in certain regions or industries, more equipment comes through our auctions as people sell off their idle machines. Over supply in the local market tends to soften local pricing but we don’t operate just in the local market. More than 60% of the equipment we sell goes to buyers outside the region of the sale. Come to one of our auctions and you’ll see and hear people bidding from all over the world either in person or online. Demand for a certain type of equipment may be soft in one industry or part of the world but there’s someone somewhere who wants to put those machines to work. Because we attract a large diverse audience of interested buyers to our auctions including local, nationwide and international bidders, our prices don’t drop dramatically when the local markets close. Our consigners are able to take advantage of global competitive bidding and sell their equipment for global market value and our buyers find the equipment they need at a price they’re willing to pay. We deliver value to our customers and shareholders whether the market is strong or weak. Given all the negative press in the US housing sector, we’ve been fielding an increasing number of questions from investors about our experimentation in the real estate auctions. While there is clearly an opportunity in the real estate market, we think there are more appropriate opportunities for us in our core markets of construction, transportation and agricultural equipment. And that is where we’re going to focus our energy in the future. We will continue to sell real estate primarily agricultural and commercial properties but we are not aggressively pursuing other types of real estate transactions. I’ll now pass the call over to Bob Armstrong for an update on our growth strategy.
Robert S. Armstrong: Our long-term growth strategy is familiar to many of you. To get to annual gross auction proceeds of $10 billion and beyond we are investing simultaneously on three fronts: Our people, our places and our processes. We made significant headway in all three areas over the past six months. Given the market opportunity in front of us, we’re committed to investing to ensure that we have the platform in place to profitably handle that growth, but at the same time we have made a renewed push internally to minimize unnecessary expenses. Our aim is to be lean and cost-conscious without sacrificing the level of service that we offer our customers. We remain focused on improving our operating leverage which we define as G&A as a percentage of gross auction proceeds and we believe that as our initiatives and investments bear fruit our operating leverage will start to improve in 2009. The largest component of our G&A is personnel costs and we make no apology for that. We are a service-based company and our people are the key to our success. Our HR department is working hard to recruit and train the right people to serve our growing international customer base. Our total employee base is now over 1,000 including 259 sales representatives. We have not yet realized our targets this year for hiring new sales staff but we’re excited to now have 20 territory manager trainees on staff compared to only seven at this time last year. These trainees are not included in our sales rep figure of 259. We don’t expect our investment in these people to pay off immediately in the same way that we don’t expect our investments in frontier markets like Eastern Europe and India to pay off overnight. But investing in the right people and places now is part of our approach to achieving sustainable growth in both sales and earnings over the long term. As Pete said, we’re a patient company. On the places front we sold our head office building in Richmond, BC and entered into a lease-back agreement with the buyer. Construction has started on a larger head office building in Burnaby which is about 20 minutes east of our current location but still within metro Vancouver. We will enter into a long-term lease on this new building and expect to move in in late 2009. Construction is also well underway at our replacement auction sites in Medford, Minnesota, Houston, Texas, and with the grand opening of our Paris site in June which became our 30th permanent auction site, we now have 38 auction sites in nine countries. We believe that this global network of sites is one of our most significant competitive advantages and we intend to invest in the range of $100 million to $150 million in cap ex per year for the next several years to help maintain and grow this network. Our capital expenditures for the first six months of this year came in at $52.7 million which is line with the guidance. Part of our cap ex spending related to process improvement initiatives that are making our business more cost effective and efficient and are designed to help us get to $10 billion in sales profitably. We’re working on a number of initiatives that will help us improve our operating leverage by increasing efficiency and reducing costs. Some of the initiatives we may not have told you about before include: Our system for electronic auction clerking which makes the process of recording and transferring sales even faster, more accurate and more efficient. A new customer database and suite of marketing tools that will give us a better understanding of our customers and their interactions with our company helping us to better meet their individual needs and it is also used to improve the effectiveness and to reduce the cost of marketing campaigns. A system that enables our sales reps to perform equipment appraisals using PDA type mobile devices. Time previously spent doing manual reports and uploads can now be spent meeting and building relationships with customers. Also the development of a new website. Our current website at rbauction.com has become one of the top sites in the equipment world and is one of our primary points of contact with our customers. The current site receives about 10,000 unique visitors every day. The new site will help us to deepen the online aspects of our customer relationships. Rob McLeod will now go over the highlights of our second quarter financial results and provide guidance for the rest of the year.
Robert A. McLeod: I hope you’ve had a chance to read our earnings release and MD&A for the three and six months ended June 30, 2008 which will form the basis of my comments today. The release and MD&A were filed this morning along with our first half financial statements. All three documents will be available shortly on the SEC, SEDAR and Richard Bros. websites. All dollar amounts in our filings and on the call are stated in US dollars. In the first six months of 2008 we generated gross auction proceeds of $1.95 billion an 18% increase over the first half of 2007. Our auction revenues were $197 million 21% higher than the first half of 2007. We conducted more than 200 auctions in 12 countries in those six months but cannot attribute this year-over-year growth to the success of any one auction or geographic region. Our auction revenue rate which is auction revenues as a percentage of gross auction proceeds increased from 9.88% in the first half of 2007 to 10.14% in the first half of 2008 which is within our expected range of 9.75% to 10.25%. This rise can be attributed primarily to the above average performance for underwritten business. Our direct expenses, the costs we incur specifically to conduct an auction, were $26.5 million in the first half of 2008. As a percentage of gross auction proceeds, they remain virtually unchanged from the prior year at 1.36%. We recorded $82 million in general and administrative expenses during the first six months of 2008, a 27% increase over 2007 due primarily to our ongoing hiring and training initiatives. Personnel costs which would include wages, salaries, benefits and training formed the largest component of our G&A and our full-time work force increased by 17% between June 30, 2007 and June 30, 2008. In order to support our work force and our expanding network of auction sites, IT infrastructure and communications costs as well as repairs and maintenance costs were higher in the first half of 2008 compared to the first half of 2007. The weakening of the US dollar resulted in a net increase of $4.5 million in our G&A in the first half of 2008 relative to the same period in 2007. Overall currency fluctuations had a negligible impact on our net earnings. Our effective income tax rates dropped from 37.2% in the first half of 2007 to 27.9% in the first half of 2008. Our tax rate fluctuates from quarter to quarter depending on where we conduct our auctions and generate our earnings. The low tax rate in this period was also due in part to adjustments reflecting the difference between actual and accrued tax expense for 2007 and the fact that the gain recorded on the sale of our head office property was subject to a low tax rate. In the first half of 2008 we achieved net earnings of $62.3 million or $0.59 per diluted common share. This represents net earnings growth of 41% year-over-year. This growth was primarily due to higher gross auction proceeds and a higher auction revenue rate which is partially offset by higher operating costs. The gain on the sale of the head office property is also included in this number. The pre-tax gain on this sale was $8.3 million and is included in the other income section of the financial statements. The after-tax gain was $7.3 million. If we excluded this after-tax gain of $7.3 million, net earnings for the first half of 2008 would have been $55 million or $0.52 per diluted share, a 25% increase over the first half of 2007. We paid total dividends of $16.7 million in the first half of 2008. Our Board of Directors recently declared another quarterly cash dividend of $0.09 per common share payable on September 12, 2008 to shareholders of the record on August 22, 2008. We expect to pay out approximately $9.4 million for this dividend. This is a 13% increase in our quarterly dividend. Following our strong results in the second quarter we are increasing the guidance we offered at the start of 2008 when we forecast gross auction proceeds of approximately $3.6 billion for the year. We are now forecasting gross auction proceeds of $3.65 billion in 2008 which would represent an increase of 14% over 2007 results. We’re also maintaining our auction revenue rate guidance to be in the range of 9.75% to 10.25%. As previously noted, in the first six months of 2008 we achieved an auction revenue rate of 10.14% which is within this range. We remain focused on achieving average annual earnings per share growth of 15% over the long term. Some years we will exceed this target; other years we won’t. Even though we’ve enjoyed growth above this target rate over the last few years, we still expect that we will achieve growth between 10% and 15% in 2008 and it now seems likely that we will be closer to the top end of that range. We continue to believe that we’ll be able to achieve EPS growth of 15% over the years to come. Pete will now wrap up the call.
Peter James Blake: Before we open the call to questions, I’ll quickly recap some of the highlights. The first half of 08 was the largest six months in the company’s history. In the second quarter we sold almost $1.2 billion worth of equipment, our first billion dollar quarter ever because an ever increasing number of people are turning to unreserved as a way of accessing the global market place. We delivered record adjusted net earnings of $55 million in the first six months of 2008 or $0.52 per diluted weighted average share. For the 12 months ended June 30, 2008 we delivered total earnings per share of $0.82 a 34% increase over the comparative period ended June 30, 2007. We increased our gross auction proceeds guidance to $3.65 billion for the year and increased our declared quarterly dividend by 13% over the previous quarter. We’re pleased with our performance in the first half of 2008 but it’s not our goal to do well in one quarter or one half. We’re focused on sustainable long-term growth and we’re executing a strategy that we believe will allow us to deliver annual average EPS growth of 15% over the coming years. The investments we made yesterday are already paying off and we’re confident the investments we’re making today will continue to deliver shareholder value as we grow $10 billion and beyond. Thanks for joining us today. We will open the call to questions.
Operator: (Operator Instructions) Our first question comes from Ben Cherniavsky - Raymond James.
Ben Cherniavsky - Raymond James: I’m going to dwell on the SG&A again or just generally speaking the operating leverage. Bob it sounds like you guys are now ready or comfortable committing to 2009 as the point where we’ll see the operating leverage kick in. How do you think that’s going to look? Is SG&A just going to start flat-lining or do you think it might even come down a bit as some of your infrastructure investments taper off or I just wonder if you can give us a little more color on that issue and generally your commitment to getting it going in 2009?
Robert S. Armstrong: First of all I don’t think you’ll see SG&A go down in total dollar terms but as a percentage of gross auction proceeds we expect it to start changing direction. We don’t have a specific pace that we’re willing to talk about right now but our thought is that 09 G&A as a percentage of gross auction proceeds will likely be less than the percentage in 2008. Not a drop in absolute G&A but hopefully a decrease in the percentage. So it’s more a flattening but not flat.
Ben Cherniavsky - Raymond James: Is your willingness to commit to 2009 based on the visibility around some of the projects and expenses you’re incurring and seeing them wind down towards the end of this year or what gives you the confidence now to come out? Because I think in the past you’d said you expect the operating leverage to kick in but you’d been reluctant to give a timeline to that.
Robert S. Armstrong: Fair comment. You’re absolutely right. It’s a combination of things. Some of the projects that are underway are now completed or completing and so benefits are either starting to be enjoyed or we anticipate will soon start to be enjoyed. In addition, some of the costs involved in those projects are starting to trail off. We have lots of projects on the go though so our total spend capital budget wise on improvement projects will continue, but we’re past the sort of foundational projects and now into projects that deliver pure benefits. I commented on four or five of them in my section of the call. So we’re starting to see some of those hit the road and there are others that will be hitting the road over the next six months and we’re pretty excited about that. That’s really the main driver. The second reason though would be just looking at what we’re going through right now in an increasing emphasis on our cost management and particularly on the headcount side and total payroll dollars as well as on things like repairs and maintenance and our IT spend that we’ve been quite happily spending to create the capacity for future growth. But we also see that we’re getting close to having a really solid level in many areas such that we have room to grow. We’ve been in catch-up mode getting ourselves in position mode and we think we now have a pretty good platform for a lot of our growth. So we don’t just see the growth having to continue in terms of personnel, in terms of other infrastructure type projects at quite the same pace that it has been. We feel more comfortable at this point this year than we did 12 months ago making a statement like that.
Ben Cherniavsky - Raymond James: The tax rate, you commented on why it was lower than normal. What should we expect then for the next couple quarters? Sorry if I missed that, but should we just expect the normalized tax rate I think in the low to mid-30s for the future periods?
Robert A. McLeod: Yes, that would be correct. In the range of 33% would be an appropriate number to go forward with.
Ben Cherniavsky - Raymond James: Could I circle back to the comment made about your real estate strategy? You’re not really focusing on that as a market and yet from what I’ve seen in your calendar, there are an increasing number of real estate auctions particularly unless I’ve misread it around residential and commercial. Even residential really there have been efforts there. How is that not a focus for you if in fact you’re actually doing more of that business? And just on a housekeeping item, can you tell me where that revenue gets reported? Is that part of your ag or industrial auction revenue?
Robert K. Mackay: We’ve pulled back from our pursuit in the real estate industry from a pointed aggressiveness particularly down south of the border. I think the real estate transactions or auctions that you are referring to predominantly you’re seeing them in Western Canada within Alberta and British Columbia. Our experience that we had in chasing some of these things down south of the border was less fruit-bearing than we anticipated for all the effort that was involved. We still will remain nimble and opportunistic and if the right deal comes along, we will pursue it here in British Columbia and also in Alberta. With our farmland Alberta-Saskatchewan, that’s part of our ag business. In British Columbia the opportunities arising in the real estate industry predominantly seem to be coming from customers that we’ve been involved with in the construction, transportation or forestry sectors so it’s an additional asset class that they come to us to market for them. So we’ll remain focused on that sort of stuff and take it as it comes along. The opportunistic where it may come up in the US but it’s not something that we’ve got a bunch of people focusing on.
Ben Cherniavsky - Raymond James: Can you clarify comments you made about infrastructure spending? You’re saying that you’re seeing that slow down. It must in the US because our read of it is in Western Canada it’s still a very robust market.
Robert K. Mackay: It’s still robust in Western Canada. Infrastructure’s been and for sure we’re seeing a slowdown in states like Illinois and a number of the other ones back there have cut way back in their highway budgets, held back because of tax revenue decreases. Same in California so there are less jobs out there for the guys to be bidding on and for every job that comes along instead of half a dozen bidders you’re seeing 15 or 20 of them, so far more competitive in the tender process and a pull-back on the projects being let out particularly in the US market.
Operator: Our next question comes from Bert Powell - BMO Nesbitt Burns.
Bert Powell - BMO Nesbitt Burns: In terms of pricing you say you’ve seen things come down. Can you comment a little bit on the rate of change that you’ve seen and the magnitude? Is this something that’s gone down fairly linearly or have things fallen off more precipitously or more recently?
Robert K. Mackay: We saw a decrease during the start of the beginning of the year but within the Q2 period we saw in many sectors or types of equipment out there a marked increase or decrease than the value of some of the stuff. We have a lot of assets that came to market and we had a lot of participation from the foreign sector in that period of time which without it you would have seen even lower prices than some of our product lines that you see going through the auctions, but everything that is tied closer to the industries that are suffering the worst be it housing, buildings, the forestry sector in Western Canada and part of the Western part of the US, we’ve seen a softening there in the prices that was pretty recognizable in the second quarter.
Bert Powell - BMO Nesbitt Burns: So have you changed your approach or your stance with respect to the underwritten business in response to that? Have you pulled back a little bit on that or is there more rigor being brought to it? I’m just trying to get a sense as to what kind of reaction that may have brought about inside Ritchie Bros.
Robert K. Mackay: For sure there’s more rigor. For sure there are more eyes looking at the deals that the risk part of it is involved in. And as we look at deals whether it’s on the East Coast or the Central or the West Coast there’s a lot more discussion particularly amongst our senior VPs in the field about what’s going on in other areas and if a VP in Phoenix is into a package of equipment that’s highly loaded with one particular product line, that VP would be on the phone with numerous other guys within the market here in North America and some overseas checking with the guys to see what type of inventories sit out there in other dealers yards and market the band for them. So as we have influenced through these economic cycles and particularly in the downside, it’d be fair to say that our tension goes up and more attentive and there’s a lot more dialogue particularly on the bigger deals. I mentioned that we’re seeing more receivers coming at us within the transportation industry. There’s a lot of that product on the market out there today so as we go into those types of deals and we face situations where we have to do some underwriting, there’s lots of dialogue and scrutiny going on.
Pete James Blake: I just wanted to comment on pricing and Rob is bang on with his commentary during Q2 but just to throw you a bit of a tailspin, the last two or three auctions that we’ve seen in the third quarter here so far we’ve been surprised at the firming and over expectation of some of the pricing we’re receiving in the market place. So don’t get the message that it’s Armageddon out there. In fact I think some of the used equipment pricing is pretty firm and even exceeding some of the expectations of even our guys. So keep that on spin for you.
Bert Powell - BMO Nesbitt Burns: Bob, just back to G&A. Two things. One, I think I recall last quarter you guys had indicated that perhaps G&A was a little higher because of some costs that normally would have been incurred more evenly throughout the year kind of got pulled into Q1. So I’m just wondering, is some of the change here on G&A still related to that or is that meaningful enough to even consider?
Robert S. Armstrong: No, fair comment. In the first quarter we had a few larger items, things like CONEXPO massive trade show presence for us that show up in one quarter every three years and so it stands out. I’m looking at Rob McLeod across the room here and neither of us are thinking there’s anything really significant in Q2 that stands out. Nothing I would call front loading. Nothing springs to mind that way. An increased volume throughout the company; on the call Rob mentioned repairs and maintenance is one category that may be running a bit hot; our IT spend in communications running a bit hot; but we’re still pretty comfortable that for the full year we’re in good shape.
Bert Powell - BMO Nesbitt Burns: Just to sort of continue on with the G&A a bit. You talk about the leverage coming in next year. That’s the full year obviously measuring next year. Is your expectation to start seeing that leverage in the second half of this year or is it going to be more of a step function as things fall away at the end of the year and you see it kind of mostly in 2009 and not much in 2008?
Robert S. Armstrong: We’re thinking about 3:00 in the afternoon on June 4. No, it would be nice but we really aren’t modeling it that precisely. My comments definitely speak to the full year. It’s just that I’m very keen on big broad numbers and the crystal ball, that’s about as clear as we can get. The sooner the better but we’re not willing to sacrifice our focus on the long term just to achieve that, so we’d be quite happy to apologize next year and say we changed our minds. But that’s not the intention. We don’t see that happening but that’s not our number one goal. It’s a very important goal. It speaks to our profitability; it speaks to our efficiency; it’s a focus of management; it’s a focus of the board; we know it’s a focus of the investment community and it should be; but we’re also focused on the top line. And truthfully if we find opportunities, if Rob’s sales group finds opportunities to help us grow our sales at a much faster clip than we’re currently going and one of the implications is that we have to hire a bunch of people or put in some new systems and therefore run our G&A up, we will do that. What we’re saying is that the longer term and starting next year we think that we’re going to see a reversal in the leverage creep.
Bert Powell - BMO Nesbitt Burns: I was just wondering if there were some bigger things that were clearly identifiable in terms of whatever consultants you have in that you’d say, “You know what, this projects ends in” and then we start to see some of the leverage more obvious in the second half of the year.
Robert S. Armstrong: Very fair question and the answer is very clearly no. We don’t have any big silver bullet type items. It’s really a combination of factors, any one of which could be meaningful but we think it’s more in combination that they’ll be meaningful.
Bert Powell - BMO Nesbitt Burns: On the tax rate, I just want to get clarification. The rate you’re talking about is for the next two quarters, not what you expect to realize for the year? In other words, I’ve seen in the past where all of a sudden the tax rate in Q4 kind of jumps up to in the 40% range to give the 33% for the year. You meant 33% in each of the last two quarters to the best of your ability to judge that today versus the full year?
Robert A. McLeod: Yes, exactly.
Operator: Our next question comes from Craig R. Kennison - Robert W. Baird & Co.
Craig R. Kennison - Robert W. Baird & Co.: I’ll start with a shorter term question. Your gross auction proceeds were up 18% in the first half of the year and based on your revised guidance that implies that it would slow to maybe 10% or 11%. I know you don’t like to be that short term in focus but are you seeing something that would indicate a slowdown in that rate of growth or is that your strategy just to be conservative?
Peter James Blake: It’s probably more the latter Craig. We take great care in doing our best to forecast forward-looking sales through discussion with our field and we do it each quarter, but we asked our guys right down to the granular level about where they think they’re going to be on a particular sale and it’s a process that we’ve always engaged in every quarter. So nothing’s really changed. What we do is we try to apply what rigor we can at our level to poke back and make sure that we’re good with the numbers. And this really is a reflection of data that we’ve accumulated through the field and it is what it is. Our history speaks for itself.
Craig R. Kennison - Robert W. Baird & Co.: Understanding that you want to build infrastructure capable of supporting $10 billion in sales, what do you think you can support today?
Robert S. Armstrong: I love that question. My guess is we could probably do 50% to 100% more than we do today because capacity is such a funny measure for our company. If I just look at the auction site network we have, we clearly have the capacity to do at least 50% more business just by having more sales, bigger sales and then if you’re willing to think about changing the types of assets you sell, if you could somehow sell all cranes obviously your sales could go through the roof just in terms of sales per square foot. So capacity for Ritchie Bros. is tough to measure but we clearly have lots. What we don’t have is lots of capacity in every single market, so we’re looking to add capacity in the markets where we don’t have enough. We also Craig as you know have the ability to have what we call off-site sales so we can jump into a market where we don’t theoretically have any capacity and rent a field on a temporary basis and have an auction. So that’s another way to look at capacity. The biggest constraint in my mind and Rob Mackay might speak to this, too, is our sales force and the size of it and the ability to grow it. We’ve spoken about that many times. As we sit here today we have a limit in our ability to sign business that probably exceeds our ability to handle it. Over the next 10 years I think that will switch. My guess is that the sales force will have no difficulty signing $10 billion and more and the challenge for us over the next five years +/- will be to identify ways of handling that more efficiently and effectively than we do today.
Craig R. Kennison - Robert W. Baird & Co.: With respect to capacity, we’ve noticed that some auctions seem to be running maybe five auctions per year rather than four. Is that an experiment you’re trying and how’s that going?
Robert S. Armstrong: Not so much an experiment Craig. It’s in part due to increased opportunities so we’ll take that. Some of the more mature sites you’ll see are running five a year. Evanton in Fort Worth is an example. And it’s just a really the ability for us to turn more equipment in a shorter period of time. We had sites like Evanton running six a year at one point and we thought it would be more effective and efficient to scale it back to five. In part it’s also due to the buying or selling trends or habits within a particular market area so we have to be mindful of that as well. Based on moving 2,000 to 3,000 to 4,000 lots of equipment in and out of a site in a period of time, and these are big machines they’re moving in, five is probably a reasonable capacity to plan for in terms of the future opportunities that we look at when we see the sites.
Craig R. Kennison - Robert W. Baird & Co.: I certainly appreciate the beauty of your business model whereby as parts of the globe slow other parts of the world may expand and that creates transactions for you. But in a scenario where the entire globe were to slow down, who’s the incremental buyer at an auction that would keep your gross auction proceeds growing at the pace you’d like?
Robert S. Armstrong: Half the crash would be the perfect for us probably. You’ve got to think of all the things that are out there. Water mains are still breaking. Bridges still fall down and they have to be fixed. There are certain repair levels that you must do on an ongoing basis. GEP just doesn’t stop and go to zero in many countries. So with that, what happens in a downturn is people tend to get a little bit more sharp with their pencil and you see the cyclicality of some of the OEMs that suffer through times when the downturn strategies that they’re employing to sort of mitigate that with interest in other businesses like power generation and what not. We tend to grow well when the markets are going down because people flock to the auction for value. There is an increase in volume; there’s an increase in terms of volume of supply. You might have a minor effect on the pricing in a bit of a creep down, but you also see an increasing number of bidders attending the auctions. The people that normally would go out and buy new things, they’ll come to the auction and reason rather than spending X dollars on a brand new piece they’ll have a fraction of that or something that’ll be in the thousand dollars on it and they would reason. And then it gets more competitive and the pricing environment tends to stay rather firm during that. We’re seeing a little bit of that in the last three or four sales. We’re starting to see more bidders attending; people that would normally want to go and buy new things. They see new price increases coming from the OEM side so they’re adjusting their spending habits right now that positively affect us.
Operator: Our next question comes from Gary Prestopino - Barrington Research.
Gary Prestopino - Barrington Research: Rob mentioned something about 60% of the proceeds are now sold out of the region. How has that increased over the last couple of years for you?
Robert K. Mackay: The measure of it over the last period of time is not something precisely that we’ve got at our fingertips but as we do our post-sale analysis of auction sales as we go into a broader global presence and a broader footprint within the national market or domestic market, we get more and more people traveling to our auction sales from in and around regions that we have them. So that with the Internet, a sale in Boise, Idaho five, six, seven, eight, 10 years ago would typically attract customers from within the Idaho-Washington-Montana area. As we’ve expanded our footprint in the US, Canada and globally, people are more apt to come and bid on the stuff based upon the quality or type of equipment that it is and the market that we’re in and the overseas people have become more and more comfortable to buy stuff anywhere that we operate vis-à-vis in the past they would only look to maybe go along the borders of the ocean and buy in Seattle or California or Texas or the West Coast. So now with the services that we provide at our auction sales, further from the field people are coming and buying stuff and hence more and more equipment that we have in each sale leaves the actual domain that we’re having it. An example again is in Boise, most of it in the past - 60%, 70%, 80% of it - may have stayed within a three-state or one-state area and today it gets smattered all over the North American market or even to some extent overseas if it’s the right product.
Gary Prestopino - Barrington Research: Let me ask the question differently. Do you anticipate this to continue to increase over time?
Robert K. Mackay: I don’t know. Beyond 60% is getting pretty high. I guess if we have some close with the economic cycle that’s going on, so for sure anything significantly higher than that in my mind might be a stretch.
Peter James Blake: We’re also waiting to see what the impact of higher fuel prices will be. At some point that becomes a more relevant factor. Different exchange rates in different countries, transportation costs, they’re all relevant but probably the biggest one and Rob got to this is the economic strength in the bidding areas. That seems to trump all else.
Gary Prestopino - Barrington Research: It looks like from what I calculated your gross auction proceeds per lot were up about 33% which just shows you pumping more products through your sites. Is that really a function of what’s going on? Is it market dynamics, some of the things in terms of slowing and distress, or is it just that you guys are getting better at what you’re doing?
Robert S. Armstrong: Maybe it’s a little bit of all of it Gary. One thing we did see for sure is a decrease in the number of what we term internally low-value lots or items that sell for $1,000 or $2,000 and an increase in the number of larger lots we’re selling. So we’re uniquely positioned to be able to handle both but the fact of the matter is that it’s much more fun for us to sell a million dollar crane than it is to sell a $2,000 pump or container or pallet of stuff. It’s important that we sell all and, the owners of equipment need to sell everything, not just the big crane but also the pallet of chains. So we’ll handle all that stuff but we’re just seeing a proportionately increasing number of bigger items at the sale.
Operator: Our next question comes from [David Russell] - Citigroup.
[David Russell] - Citigroup: I have a question on Europe. Can you give us a little more detail of what you’re seeing in Europe, especially last year the dealers have had a tough time selling their used equipment out of the region given the currency, but obviously the market there now has softened further, they’re used equipment inventory is even higher. I just wanted to see if you’re seeing any change in their behavior.
Robert K. Mackay: Going into Q2 for sure there was a marked decrease in the European market. More supply coming at us particularly up in the UK and parts of Northern Europe and down in Spain as the finance prices or credit hit those two markets within the housing industry. A lot of equipment coming at us in the Spanish market as the work and the building down there seem to have come to a pretty quickened slowdown in Q2. So more equipment coming at us in that market. Obviously the strength of the euro over the last while has made much of the used equipment in Europe trade within the European market and lessened the number of North Americans that would consider buying there or the Middle East buyers that would buy there because of the sheer cost of it in euros versus dollars.
[David Russell] - Citigroup: Obviously seven or eight years ago there was that issue of some of the equipment sells so quickly in value people are a little bit reticent to sell their used because they’re under water and then obviously when it got weak enough they just had to blow it out for financial purposes and caused a bit of a rush of used to the market. Where do you think we are right now on the European dealer fleets, even contractor fleets? Where do you think they are market value versus what they’re carrying on their books? And we’ve had a lot more inflation this cycle but I’m not sure if it’s exactly similar to the static inflation environment seven years ago, but do you think the dealers are already at a point where used prices are down kind of borderline under water, at equal value book versus market?
Robert K. Mackay: That’s a hard one. The market in Europe was bubbling along there quite well with a lot of support in Western Europe coming from the Eastern block countries and many of the dealers that we’ve been dealing with or talking over there are not carrying large inventories of used equipment. I’m not sure what their volumes were sitting there at new, but as the whole world was struggling with supply and demand, or supply of new over the past, not a lot of them are sitting with a lot of inventory that they may have had in previous times. So what they have it on their books for and what market is, if we could look at the North American side and suggest it would be similar, there are contractors out there today that we’re running into and of course some dealers where the just of getting the deal done more hinges on payouts than it has in the past and some of them have very tight payouts that based on our estimation of the market price wouldn’t make them whole and they’ve had to look at other opportunities or ways and means of finding a way to make market equate to book.
[David Russell] - Citigroup: Let me ask it a different way. Is there more equipment that you’re getting out of Europe that you’re taking to auctions outside of Europe? It’s a little bit of the question of the flow of international buyers going to Rotterdam or not and so forth, but just your flow of equipment, stuff that’s originating out of Europe. Is more of it headed out than say even just four months ago?
Robert K. Mackay: I’ve not seen that yet.
[David Russell] - Citigroup: And same question for the US. Obviously some of the auctions that we’ve been to it’s the United Nations at some of those auctions in the US, not even just the Coast but in Ohio and so forth. Have you seen a notable change, because obviously a lot of OEMs now are focusing their new sales increasingly to the emerging markets to the need for an international buyer or even a buyer from Dubai and so forth having to really pick up good used out of the US because he can’t get enough new locally. I would think that’s swinging a little bit to where there are enough OEMs focused on those markets directly with plenty of capacity to focus at it. Have you seen a percent of your sales in the US going to international buyers come down the last three to six months?
Robert K. Mackay: No, it would have increased in the fact that as we went through Q2 as Pete mentioned we saw decline in the pricing in Q2 more so than we probably anticipated and as we’ve gone into Q3 we’ve had a number of sales already in July and we’ve got quite a number of them coming here in August. We have seen somewhat of a flattening from the decrease that we saw but we still see there’s a very strong participation level from overseas. A recent sale in Sacramento last week saw quite a value of equipment going offshore to Australia, an interest from Russia and some of the other Asian market places, so it has not been decreasing.
David Russell – Citigroup: On cranes, the boom trucks are obviously a little weaker, but let’s say [NERT] above 50 to 60 times there, how would you characterize the market right now? It’s been strong. I mean there was a period there where used cranes were almost going as much as new cranes. How would you characterize the market right now supply versus demand?
Robert K. Mackay: I think demand is still pushing a little ahead of the supply side of it although I would tend towards the thought that it is leveling off and the extreme high values that we were seeing just in the past year or so are starting to flatten. But it’s still unique to some different markets out there. We had a sale in Australia as we mentioned towards the end of June. The crane prices that we got down there were astronomically high, but it’s a market that’s a long ways away from everywhere; there’s a lot of construction going on; and it’s a long lead time for them if they ever want to order a new one just from the supply side plus the transportation side. So it wasn’t that surprising that they were strong but the prices were very strong. We’re still seeing lots of cranes that we sell from Middle East buyers.
[David Russell] - Citigroup: Again, part of this last question about particular product. Scrapers as a little bit of a proxy for housing developments. Obviously they got really pummeled the last couple of years. Have you seen any bottoming in your scraper prices to suggest at all that from an equipment perspective, I’m not saying starts will be picking up any time soon, but from an equipment perspective have we seen some of the worst and some of the most notorious housing [inaudible] products that are down significantly in value?
Robert K. Mackay: I could answer that in a couple of weeks better. We’ve seen a decrease.
[David Russell] - Citigroup: Can I ask why you would know in a couple weeks better?
Robert K. Mackay: We’re going to sell a whole bunch of them here in the next 30 days. But we did sell a fair stock of them in Sacramento the other day. We’ve got quite a batch coming up in Vegas and Phoenix, all of course coming out of the West Coast, all primarily used in and around that housing industry. We saw a little bit of comfort this past week in Sacramento with scraper prices. If it holds through the balance of August with the other scrapers that we’ve got coming at us, I would say that we’ve reached our low water mark and there’s some stability there with people jumping in and buying at that number.
Robert S. Armstrong: Some of the pricing we saw in the Sacramento sale was even stronger than what we experienced in June on the scraper side.
[David Russell] - Citigroup: Would I be a little too courageous to think that if scrapers begin to find a bottom from strictly a housing oriented product collapse, would you say that’s a reasonable product to think about as - It’s hard to try and call bottom on housing starts but maybe a bottom on housing related equipment in the US?
Operator: There are no further questions.
Peter James Blake: We’ll wrap the call up then. Thank you very much for your participation and we’ll get back to work here and look forward to talking to you in Q3. Thanks everyone.